Unidentified Company Representative: (Interpreted). First, they’re already asking for the flow. But let me first of all say welcome, good afternoon to all who’s stuck here in Wolfsburg. This morning, Professor Winterkorn and Mr. Pötsch gave you detailed reports on the business performance and strategy of the Volkswagen Group. I’m sure that the analysts and investors still have a couple of questions that they would like to ask. And that’s why I would like to invite all of you here to ask any further questions you might have. Please wait for the microphone and please also briefly indicate your name and your institute or affiliation. Of course, you can also ask your question in English. So, Adam I think asked for the flow in the second row. Adam, I pass the floor.
Adam Hull – WestLB: Rather financial – Sorry, Adam Hull from WestLB. Three questions. Firstly, could you just give us some indication of what the PPA charge in EBIT line was in the fourth quarter? That’s I guess in the other eliminations line. And could you also give us some indication as to what degree the particularly MAN charge against some PPA in Q4 is rather exceptional and therefore would be lower? So, what roughly will the PPA charges be in 2012 in the different segments? And secondly, on the VW brand EBIT, the Q4 number €40 million with a margin of just 2.2%, I think you’ve given some indication there’s some large charges on the MQB start-up cost there. Could you just give us some kind of indication of what the kind of size that we saw in Q4 and what kind of size are we going to see maybe for the full year in the VW brand? And then finally on the CapEx, I think the CapEx ratio was 5.6% in the full year 2011. Should we expect it to be a peak as a ratio of sales for 2012 or will the peak be in 2013? I’m thinking about MQB costs to some degree. Thanks.
Hans Pötsch: Now concerning the first question that was relating to amortization and depreciation allocated assets, but first of all, let me tell you – let me remind you that in our entire results of 2010, close to €700 million was indicated here, of which close to €300 million related to operating profit. In 2011, this amount increased significantly. It increased to approximately €1.1 billion of this amount. Approximately €750 million relate to operating profit over – incurred in operating profit. Because of the recent additions, the depreciation and amortization figure on allocated assets in 2012 will again be significantly increased namely to more than €1.4 billion. Because of the change in the form of consolidation in particular for MAN which has happened in the meantime, the overwhelming maturity of this will be incurred in operating profit. At the moment, we assume that only about €100 million will be incurred in the financial result – will be laid to the financial result. As far as the further course and as far as the measures taken so far are concerned, 2012 should then be the peak value, should be the highest value for depreciation and amortization on allocated assets. I would like to explicitly say that these depreciations and amortizations were taken into account when we gave you our forecast for the profits. Adam Hull – WestLB I had a question about or related to the profit for the Volkswagen Passenger Car brand and in particular, you were asking about the fourth quarter. Now, in the fourth quarter, indeed, the return rate, which used to be higher, declined. It declined to approximately 2.2%. And here, a number of measures like this development, this was driven by a number of measures. On the one hand, we had considerable start-up costs in the fourth quarter, in particular, the new small family and the up to be specific were cost drivers and we also had a couple of burdens from commodities or raw materials. The cost of raw materials and the conversion expense, conversion to the MQB, the Modular Transverse system, the conversion expense incurred here was a three-digit million figure. Now the next question related to CapEx. Now for the group, the ratio is 5.6%. That’s the CapEx, right? I already mentioned that – in fact, we have to say that in both years, in 2010 and in 2011, we said we’re below our medium-term objective. I think that you also listened to my presentation before. And we are now entering a phase with higher investment so that we assume that the value of 6% can be even slightly exceeded, outperformed in 2007, 2013. But when you look at the rolling average over several years, the value of 6% is the value that we will continue to achieve.
Martin Winterkorn: Thank you. Jochen Gehrke had a question. Row eight, please.
Jochen Gehrke – Deutsche Bank: Thank you. Jochen Gehrke, Deutsche Bank. Three questions, if I may. First of all, in the fourth quarter, the other operating results were a main contributor to overall EBIT and so this was the highest percentage if you look at the year in several slices. Mr. Pötsch, tell us the dynamic behind that and please tell us what we can expect for 2012 in particular with regards to the provisions that will be withdrawn. And then the second question is for Mr. Martin Hofmann. You’re responsible for the truck group, so maybe you can tell us briefly how the management structure works, how the two independent companies will be brought together, what kind of steering committee you’re founding. And in particular, with regard to MAN, in the fourth quarter, if I understood what I read correctly, you made some additional purchases. Is this an opportunistic approach due to the fact that you’re above 50 now? Or does this indicate that for the next one or two years, you’re going to try to achieve a profit assumption agreement. And the third question is for Dr. Winterkorn. Volkswagen is no doubt an exception amongst mass volume manufacturers in Europe. The most recent comments from your competitors in Southern Europe, all pointed out that we have massive overcapacity. Different manufacturers would like for the EU to intervene with structural funds to eliminate overcapacity. So I’d be interested in hearing what your opinion is, your stance is on that. Thank you.
Hans Pötsch: Well, maybe I can begin with the question about the profit contribution from other earnings. In particular, with regard to the fourth quarter, now, here, you have to always remember that the provisions that we have are always reviewed with regards to the foundation they’re on and whether they’re justified. And in the fourth quarter, this resulted in the fact that our results were positively impacted by the some of them being dissolved. Now, the system is like this. When it’s recognized that provisions are required, the provisions come from the different functional divisions so that these items are not reflected in the income statement. And as a result, it is always recommendable to look at the provisions that we have in the balance sheet. Then if you look at and compare the items there, we can say that the other provision’s amount if you take the effect of the initial consolidation of MAN and Porsche Holding Salzburg out so that you really can’t compare apples to apples, then you see that the other provision’s item is up by €3.7 billion, which means the bottom line is that we have a conservative accounting policy that we are continuing with no restrictions. I forgot your question about the leadership structure in the Commercial Vehicles area. Let me say that one of the key strengths of the Volkswagen Group and one of the main parameters for the Volkswagen Group’s success is the independent brands we have, based on the multi-brand principle in the Volkswagen Group, that’s how they’re managed. And this applies and will continue to apply to the Commercial Vehicles division, and this applies, therefore, and will apply to MAN and Scania. In the Volkswagen Group, we have, therefore, established a board position for Commercial Vehicles. I’m currently responsible for that, and I play a coordinating rule, therefore, for Commercial Vehicles. As was stated initially, last year, we increased our share in MANSE and this underscores the strategic significance that we see in this business and we are keeping all options open for the further arrangement in commercial vehicles. With regard to the sensitive question you have, about capacity reductions in Europe, let me say this. This is a subject that I am indeed familiar with. My proposal was for other European countries to have a look at Germans working time flexibility – Germany’s working time flexibility model and it was also my proposal to give some thought to dealing with codetermination in a different way in certain places. And I don’t know whether it’s easier, if you want to shut down factories, to do it under the umbrella of the EU or the umbrella of the national government. Fundamentally, though, if you have capacities that are too high and have to reduce them, it’s a national matter. It’s not a European matter. We, in the Volkswagen group, are continuing to have objective for capacity utilization rates of 90%. And we achieved that 90% level in 2011. In the way things look, we’ll achieve that 90% target for 2012, too.
Martin Winterkorn: Thank you. Thierry, I think you are next, up here in the second row.
Thierry Huon – BNP Paribas: Thank you. Thierry Huon from Exane BNP Paribas. Regarding the MQB costs, could you share with us what you expect for the first quarter of this year and for – on a full-year basis for 2012? And could we expect to have no more staffing costs by 2013 or it would be too early? And if I quickly understood your comment, Mr. Winterkorn, about the overcapacity, so obviously Volkswagen doesn’t have any problem with overcapacity, but you are adding some fixed costs. So, does that mean that if, for any reasons, the demand for Volkswagen is declining, you would be ready to lower your price to maintain your volumes and to maintain this 90% utilization rate? Thank you.
Martin Winterkorn: Well, let me get back to the MQB. You asked about relevance for costs and investments in the next few years. Let me first say that the introduction of the MQB and the numerous required changes has impacted our earnings in 2011, in particular in the fourth quarter. In 2012, that will continue to be an issue. I already pointed out that we are talking here about figures that are in the $100 million. And in 2013, too, we will also feel a certain effect from this. Now, I believe that since in 2012, a substantial share has to be carried connected to the introduction of high-volume cars and higher unit numbers. In 2012, I believe that we will see a peak that we will have to carry. Let me make a comment on the Modular Transverse system MQB. It sounds like we are reinventing the world here or something from what I’m hearing. But there is a fact. Even if we hadn’t introduced the Modular Transverse system due to legal stipulations, for instance, EU6, and due to pedestrian protection measures, when we introduced new cars, we would have had to make investments in our existing factories and platforms. So, EU6 is not something that you can achieve without making major modifications to your power train. Pedestrian protection is not something you can achieve without making major changes to the front part of your cars. And like what we did for the Modular Longitudinal Systems, this was the reason why we decided to come up with a new modular system. Now, in doing so, we’re reducing overall expenditures. We’re reducing unit costs. We are also improving the design in the package for our vehicles. In other words, shorter front-ends and better crash protection. These are side effects that are positive for us. But investments for successor generations of the A3, the Gulf and so on would have had to be made anyway. However, we do have the major opportunity now, and we took advantage of it because of our new modular system to cut costs.
Hans Pötsch: Prices, I’m happy to give you an answer about prices. Last year, as you were able to see quite well, we had very good basic development concerning distribution expenses. This is also shown in our report. As far as the competitive environment is concerned, we are always competing with our friends, and this develops differently in different areas. We expect slightly higher price pressure in Europe and maybe in South America. Otherwise, it will be similar to the situation in 2011. And we always try to be involved in this price pressures to the smallest extent possible. We don’t want to be influenced by these price pressures. Of course, we are competing in the same environment, but it’s not our plan to put volume before prices.
Martin Winterkorn: Thank you. Horst Schneider has the next question in the third row.
Horst Schneider – HSBC: Horst Schneider from HSBC. I have a couple of questions. Mr. Pötsch, in your annual report, you’re showing a couple of impairment losses, I think €650 million. Could you please be more specific and tell us how these impairment losses were incurred for what item or items? And a couple of questions concerning the outlook for 2012. You are giving us a very vague or unspecific outlook for the market, could you quantify this to that extent globally and in Europe? What’s the percentage of growth will be in the market or percentage of decline in the market according to your estimates? About the outlook for 2012, okay, we have the ramp up, but that’s, of course, for QMB. But does it also include the fact that basically there is a negative impact to expect because of the model cycle, the A3 and the Golf will be discontinued. And in a phase out, that is continuation phase, you will have to grant higher discounts to the customers. Is this taken into account in your guidance? And all in all, this morning, Mr. Pötsch, you talked about the Volkswagen brand, and you said something that I didn’t quite understand. So, in 2012, what do we expect with the Volkswagen brand? And EBIT margin, which is higher than in 2010, is this what we should expect for the Volkswagen brand? This would imply that for the Volkswagen brand in 2012, there will be the largest downside – the largest downside will be for the Volkswagen brand in 2012.
Hans Pötsch: Okay. First of all, impairment topics – but first of all, figures, let me tell you some of these figures. Extraordinary depreciation and amortization amounts to €700 million approximately. This is not really much less than in the year before. And the reason for this is quite simple. First of all, what is an impairment? Impairment means you look forward to the future and then you try to figure out whether the capitalized items can be justified. You create a discounted cash flow model. And that means that the volume perspective, margin perspective and, for some kind of model, exchange rate also play an important role, that these are important components of the model. This development is something that is positive. It’s positive. It’s good news because obviously the volume of impairments obviously decreased significantly. On the other hand, I believe it is generally known that in this respect, we also take a very conservative approach. Now, these impairments, to make sure this is allocated to the right activities, impairment should be allocated or relate to specific where vehicle investments; exactly which vehicles, I mean, here, but I don’t want to mention them for competitive reasons, but there were no major impairment of valuation adjustments on investments. Now, in the financial results, we add this for completeness’ sake. In the financial results, naturally, the effect from the consolidation change for Suzuki and MAN were also taken into account as items having an effect on cash and effect on sales. Now, a couple of questions – a couple of remarks on the market. We see that development is quite different in different markets. We have Western Europe, and we believe that there’s a lot of pressure on the markets in Western Europe. We’ve seen that for the past few months, particularly in Southern Europe, there’s a lot of pressure, and this is something that we also discussed for a couple of months. On the other hand, we have markets where there’s a positive development. Russia, for instance, or China or India, North America or South America. So, all in all, we can assume worldwide growth in a low-single-digit growth area – growth rate area, and that’s the tendency which is also clearly reflected by the market as a whole. Nevertheless, this brings me to your second question: What about the pricing? I mentioned before that in the various areas, we try to defend our price premium as best as we can. And in those markets where there is higher growth, we are in a better position to defend our price premium. But also in Europe, we will continue to at least maintain our price premium. Whether we can do this successfully remains to be seen and it also depends on what our competitors will be doing. Now, the important thing for you is that some of our competitors have major product events coming up at the same time as our product launches. So, there will be a similar correlation. There will be a similar situation among the peers in the industry. I don’t want to talk about the A class or the 208 or what have you, but this shows you that in 2012, a lot of things are going to happen, will be a year full of events, but this is going to happen again and again in the future. And last year, we showed that we responded very sensibly and reasonably to the pricing situation. About phase-out, discontinuation of Gold and A3. For these two phase-outs or the phase-out of these two models is really quite successful. We exited quite sensibly at the end of the model life of these two models, and I don’t think that there’s any information to share with you that would be a reason for concern.
Martin Winterkorn: As a golf driver, maybe I can add something. Sometimes, people wonder why we even need a new car that’s already such a great car. But you put this into perspective, when you’ve driven a new car and then you would say it is even possible to improve a great car like that. I can confirm that development of A3 are still winning their comparative tests as you can see. And to say one more thing to conclude the discussion on that issue, all of these events as far as possible, we have included in our estimation of 2012. So, you can rest assured that our statements on 2012, as usual, are very well-founded. Then, perhaps, I wasn’t too understandable, so let me repeat what I said about the Volkswagen Passenger Cars brand. I stated that we achieved about 4% in 2011. In 2010, it was 2.7% operating return. And I said that our results for 2010 would be exceeded. And whether or not we achieve that, we’ll – much more than that, we’ll have to see during the course of the year. Great. George, second row, and then, you.
Georges Dieng – Natixis: Well, good afternoon Georges Dieng, Natixis. Several questions. First of all, on Porsche and the synergies that you mentioned this morning, I wanted to clarify the amount you mentioned, €500 million. You said this is what you have identified. And I was wondering whether this is – has already materialized in your P&L or is it something yet to come? And if you could maybe give some concrete indications of – or illustrations of these synergies. Second question on the Small Car Family, I think to-date, you have not really given any volume targets, mid or to long term, so maybe you could share with us your views on what are – what is the potential for volume for this Family? And also, could you give a word on the breakeven volumes and the kind of the margin target that you could be targeted for, let’s say, 2015? I’m not going as far as 2018. It’s a long way, but if you could give a comment on 2015. And last point, on the dividend policy, this morning, there was a discussion on dividend versus bonus and salaries, et cetera. I know that you’ve been very much – or the cash position has been very much tied up with your strategic actions. And you’ll probably wait until all the strategic issues are over before maybe allowing for higher return for shareholders. So, if you take a mid- to long-term view, what would be really the dividend policy at VW? Thank you.
Hans Pötsch: Perhaps I can begin with the synergies with Porsche. Let me reiterate what I’ve said. You all remember the figure, €700 million in the annual perspective that we want to achieve. I think we are really on the right track here. And I said that we had identified about €500 million, and I added that in our current calculation of earnings, we had identified about €200 million plus that we are already achieving, which means that we really are on the right track there. Let me perhaps say something about the NSF, new small family. Right now, we are launching our new cars here. We’re talking about a Volkswagen up the Citigo from Skoda and the Seat Mii. Obviously, we have long-term targets. We have long-term targets, which we always treat conservatively. Now, we are giving very close thoughts to rolling out this family of vehicles in other parts of the world. That’s the normal countries. The BIC markets, not the BRIC market. That is Brazil, India and China. And as was stated this morning, we are, in fact, quite a way down the road in our thoughts on Brazil. And we believe the volume potential there is beyond 150 units for Brazil alone. How developments elsewhere will be? Well, we’ll see what happens there when the corresponding decisions have been taken. Well, then there was a question about the breakeven volume. Now, I hope we understood that question correctly. You are talking about the group? If the question was about the new small family, then I have to say that we do not want to say anything more concrete about that. Apart from that, with regard to the group, I could say that we feel we’re in a comfortable position. We’re working hard on costs and investment discipline. And we have a big buffer, and we definitely want to retain that buffer. And with regard to our dividend policy, let me reiterate what I’ve already said. I think that we made a major stride forward with the proposal that we are going to be making to the Annual General Meeting together with the supervisory board. Now, naturally, the dividend ratio required by law is relatively low. Let’s put it that way. Now I told you about our strategy that we are currently implementing as a reason for our current dividend situation. But I must repeat that we have a very clear position on the fact that over the medium term, we see no reason why we might not have an average dividend rate that is common amongst DAX companies, always on an adjusted basis, in other words, non-cash effective earnings things will be taking out. So, we see no reason why we shouldn’t achieve that type of dividend level. So, we might, over the medium term, be heading towards something like 30% possibly. Third row, please.
Unidentified Analyst: (Inaudible) SeQuant Research. Basically you just answered one of my questions. So, I have a different question about investments. You did say a lot about that, but R&D research and development is also part of what’s in for the new platform. Maybe you can tell us something about that. In this year or in the next year, will they be up on 2011 or maybe some of CapEx and R&D expenditures, well, will that be above 11% or not? And then question two. In Mr. Winterkorn’s speech, he talked about halftime. Now, if we look at the time scale, maybe we’re talking about 2011 even though if you look at volumes, it went from 6 million to 8 million. The objective is 10 million. Now, if you look at the next 2 million or the next couple of years, well, you said that things will be more difficult, does this mean that the 2 million additional ones – well, in terms of revenues or profitability, they won’t be quite as good because you’ll have to achieve that under less favorable conditions? Does that mean it will be more difficult because instead of an economy going up, there might be some negative impact there from the overall economic situation? Or is this due to the fact that you fear that the content of the vehicles might change due to regulation or the change over to the electric car or to the – due to fact that you will have to have many more different power train technologies and thus things could be more expensive?
Hans Pötsch: Well, I’d like to begin briefly with your question about investments. Now, if you look at capitalized development expenses and if you add those, well, let me say that we gave you some figures that are in our planning in general figures we’re talking about the €50 billion in investments in property, plant and equipment and about €12 billion for development. And this demonstrates that we are increasing, if you look at the absolute size of the numbers. Now, of course, you always have to put that in relation – in a relationship to the group which has grown as a whole and also structurally. So, therefore, in 2012 and in 2013, there will be a slight relative increase compared to the multi-year average from the past. You had a question about why in the second half, we are a little more cautious in our plans. And this is due above all to the fact that we do, indeed, see that expenditures to meet legal requirements are always going up. Legal stipulations are becoming tougher. I already mentioned EU6, protection of pedestrians. There are many, many rules and regulations that we have to meet also with regard to CO2 emissions. So, therefore, in this regard, as far as growth is concerned, we’re a little bit more cautious. We still have our objectives that we mentioned for 2018, 10 million vehicles. Now, another thing we have to remember, especially because there will be issues like this facing us such as new legislation, EU6, I’m repeating what I said. Well, our modular transfer system offers us an opportunity to compensate for some of these things as a result of the volumes we achieve with our brands. And when we’re talking about electric cars, when we’re talking about plug-in hybrids, when we’re talking about fuel cell technologies, all of these are things that will lead to additional expenditures. We are going to be cautious in approaching these subjects. So, therefore, our statement is next year, e-Up! The year after that, the E-Golf, and then some plug-in hybrids. But fundamentally, we believe that we will achieve our earnings globally with internal combustion engines. However, at the same time, we have got to make expenditures in order to be prepared for the future as far as other powertrain or drive technologies are concerned. There’s a subject we haven’t discussed at all today that – well, let’s put it differently. E-O2 and the reduction in fuel consumption can be achieved by means of more efficient IC engines, by means of electric vehicle hybrid spot. You can also reduce fuel consumption by reducing weight. That’s a second major focal point of our activities and we are working full speed ahead on measures to reduce weight like this. We’ve already taken the first step that was a modular transfer system, just for example, the Audi A3 that Mr. Stadler unveiled in Geneva. That’s 80 kilograms less than the predecessor and it’ll be similar to that with other vehicles too and will go on from there. Next, Mr. Biller, and then we will go back there.
Frank Biller – Ladensbank Baden-Württemberg: Thank you. Frank Biller, Ladensbank Baden-Württemberg. I have three questions. The first one is about China. Very good development of operating results in China. Ballpark figure while I see an operating margin of about 18% there. Maybe you can tell me if I’m far off the mark or whether or not we really are in that sort of sphere. And then, I’d like to hear something about your future expectations for China. The market is getting a little bit more difficult, we’ve already heard that. Growth assumptions have been reduced for China. So, what is the situation for your margin expectations in China for the next one to two years? And in terms of your results in absolute figures, do you believe you can add something on top to – of what you’ve already achieved or whether or not despite increased volumes; the absolute figure might go down. And then, a question about the dividend. In 2012, China – what dividend went to Volkswagen? And then, delivery transfer. Certain vehicles has a very high demand and sometimes it’s hard for you to deliver vehicles to customers early enough to take one DSG transmission, you’ve got the bottleneck we’ve heard there in the industry. Can you tell us where the biggest bottlenecks are and how things will develop there in the near-term future? And then I have a question about the MQB modular transfer system with regard to unit costs. I heard about a 20% reduction – now with regard to the difficulty in markets, there are some competitors that aren’t in such a comfortable cost position as Volkswagen is. So, what is your current opinion about the order of magnitude of how money – or how much of this savings can be passed on to customers?
Hans Pötsch: Well, first of all, let me tell you about China. I’d just like to confirm that the situation is gratifying. I’m not going to confirm or not the 18%. But we do achieve good returns in China. And we’re not far from the situation that we’re familiar with from Europe. And as you know, we have an extensive investment program in order to up our capacities in China. And that’s absolutely necessary, too, because there is demand there, and it’s going to continue to develop. Now, of course, if you look at the absolute figures with regard to revenue and earnings, we expect that they ought to go up. We’re doing everything we can to remain competitive. In other words, we want to have a business model that will bring our good margin situation into the future for us. Now with regard to your question about the dividend, 2012, the necessary decisions will have to be made. 2011, the dividend was above €1 billion that we took in from China. Let me answer the question about delivery times. Here, we can report that the situation is – has really calmed down there, some areas, regions that do have longer delivery times. This could be Tiguan with a specific engine version and a specific transmission. But all in all, we are now back to a level which I believe we can call appropriate and reasonable. Of course, apart from having reasonable delivery times, it is an effort we’re making to make sure that our inventory levels are appropriate. So, we’ve really got to handle and manage the situation in order to be prepared for all possible issues coming up down the road. I’d like to confirm what Mr. Klingler said with regard to the DSG and the increase in volume of the Tiguan. We’ve made some additional investments last year. And we see that the back-order figure is going down day by day. Let me say something about China. I’d like to repeat what I said this morning. Right now, we’re investing in three factories, in Ningbo, Yizheng and Foshan. And during this year – during the course of this year, or next year, they’ll be coming on line, so that in China soon, we’ll have a capacity of 3 million. And we do believe that China will remain a success story for Volkswagen. Because if you look at the map of China, you just really see the east, but you’ve always got to look at the west too, and I think there’s further potential there. And then let me briefly answer your question about the economic effect of the MQB Modular Transverse system. And then there was a question about confirming the potential improvement in unit cost level about 20%. We can confirm that. And we also said that it’s not about having a direct reflection of that in our earnings. Rather, this gives us some leeway, and we want utilize that to gain some premium points, so to speak, in our different cars so that each of them is the best car sold in its class. Because as you know, we want to earn good money but without customer satisfaction, without thrilling our customers for our car, that would not be possible. So, you can rest assured that quite substantial share will be there to improve that. Let me say one more thing about that, about research. We really do gear what we do toward the competition too. And you can see it’s coming back from Geneva. Mr. Scheider, you do see that the competition is improving and we’ve got to be prepared for that. So, we have to be happy that we have invested in the MQB Modular Transverse system.
Martin Winterkorn: Thank you. There’s Christian Breitsprecher on my list. Is that question been taken care of?
Christian Breitsprecher – Macquarie: No, not yet.
Martin Winterkorn: Okay. Then well, come out to the front. And then over there there’s Philip and Mike. Here what row is that? Eighth row, seventh row.
Christian Breitsprecher – Macquarie: Christian Breitsprecher from Macquarie. I have two follow-up questions, one relating to the China Chevys. Can you give us the pro rata revenue for the Chinese Chevys, the revenue is attributable to the Volkswagen Group? And then second question, coming back to the MQB Modular Transverse system, could you tell us the burden? The expense is going directly through the, well, P&L in 2011. You said, in the fourth quarter, this was a significant three-digit amount. And also in 2012, is it three-digit million amount or less than €1 billion? Could you be a bit more specific here?
Martin Winterkorn: First of all, China, the Chinese joint ventures. You know that we do not publish or disclose any information concerning the sales revenues of these joint ventures, so I do not want to say anything about the pro rata sales revenues from these joint ventures. Then the MTB, Modular Transfer System, I told you the three-digit million amounts, we’ll be talking about. And the peak year, 2012, will be definitely be a three-digit million amount which must be included in the result.
Operator: Thank you. Then Mr. Killard was on my list. He is here in the fourth row.
Thomas Killard – SIB AG: Thomas Killard, SIB AG. I have a question concerning MAN. With the takeover for the maturity in MAN, you also took over business areas which do not relate to the Commercial Vehicle business. Can you tell us more about the future of these business areas in the Volkswagen Group? Thank you.
 Martin Winterkorn: Well, we clearly are committed to all of the various business areas of MAN and all of the existing business areas of MAN. And we can see strategic interesting piece for the future in these business areas. So, now Mr. Pötsch on my list has been taken care of third row. Yes, here and then over there. Okay. Three more on my list. This is Phillip (inaudible) and Michael is there, up there.
Thomas Killard – SIB AG: If I can go back in China briefly, we’ve seen very interesting divergence in premium car sales going up while the general market is going down a bit. And within the general market, you can see very well GM can do very well as foreign brands and the domestic brands are getting weaker and weaker. Could you give us a view of what you think is the risk of a policy response in the part of the Chinese authorities to try to protect some of the local brands or do you feel at this stage your position as an employer is so big that you’re not at risk of being seen as a foreign brand as you say a local brand? Couple other questions if I may. Mr. Pötsch, could give us an indication of the – what would be the pre – goodwill pre-PPA contribution of Porsche Holdings to your EBIT, I have in mind something like 200 million basically to churn out that’d great. And also you talked about this mid-term view on what the dividend could be. Do you also have a mid-term view of what you intend to do in terms of the pension deficit which you right now keep as an unfunded provision loss here in your balance sheet, is there a mid-term view which to do this or are you happy to leave it as mostly on funding?
Hans Pötsch: So, maybe I’ll start with China first in (Inaudible) Growth in the Chinese market, as we’ve said before is slowing down but it’s still at a high level. I think that’s something that you always have to bear in mind. We still assume a single-digit growth rate and in view – in light of the current starting point it could easily be 1.5 billion, 1 million vehicles because of the basis that you’re coming from. And it’s great last year, various manufacturers developed very well in the Chinese markets. This also includes the brands of the Volkswagen Group. They performed very well for the first time in a long time. We again extended and increased our market shares. And this is also one sign that shows that we have the right strategy. In China, there are also a couple of political statements that were made and that we have to face up to, the topic that we reviewed this morning, namely the fact that cars for public civil servants or public officers should be Chinese brands only. There are other issues. But all in all, the climate in China for us is very good. We have excellent partners both with FAW and SAV or SVW. We have excellent partners. And at the end of the today, it’s the customer who has to decide what kind of vehicles they want to buy in the future. That’s how it is, customers take this decision. And we also know that in terms of the political perspective, the basic mood in China is very positive. So, the basic climate is very positive. Naturally, the Chinese government will try to, well, strengthen the local Chinese manufacturers, which is just normal. This is just normal, a normal procedure on the part of the government. But nevertheless, we will try everything in order to not only maintain, but also expand our competitive edge. Now, the next response is to the question about the contribution of Porsche Holding in Salzburg. Before the amortization on allocated assets, we had an income that was generated of approximately €400 million. So, that was the earnings income, €400 million approximately. But I have to point out that here we talk about a 10-month value because this was not generated in the whole year but in 10 months. And if you then do not relate this to the consolidated share of revenue but the external sales of Porsche, then its return rate of approximately 4% – 4% return and I think for a safe organization, a trading company, that’s an absolute top value for gross outside revenue – relates to gross outside revenue. Now, you were also asking about our pension provisions or pension liabilities. Most of our pension obligations are still not funded in our balance sheet. We check this on a regular basis but up until now, we did not consider it necessary to make a structural change here. And I think we can make this dependent on the specific situation. Let me briefly mention or make a comment on China. Just one sentence. We are, in fact, slightly surprised that we, with our joint venture partners, are not regarded as a local brand. Just look at the figures out of the 2.3 million cars that is sold in China last year, approximately 100,000 were imported and the rest is local content, locally produced and not only assembled in China but our colleague, Garcia, I think he has a localization rate, a local content rate of almost 90% local content of 90% purchased parts, so the value added are created by the two – more than two million cars in China is more than 90% local content, not only car but also engine and transmission is at the factories. All of these are local factories, so that’s certainly a subject that we need to look into. But now, Mr. Ponce.
Unidentified Analyst: Miguel Ponce (inaudible) Bank. I have two questions. One concerns sales, unit sales. You said 2012 also was a year that had a good start. And I would like to know would you still benefit from the large order backlog you had built up in 2011 because in the BRIC side, well, actually the fourth quarter was quite weak in China, also was quite weak in the first few months? Could you briefly tell us about new orders coming in in the various regions over the past six months? And then a question about Porsche. You keep talking about the integration of Porsche, but you were never specific whether you mean SE or AG. Is it fair to assume that because of the basic underlying data and the fundamental agreement only a merger of the AG but not a merger with the SE is possible because of the basic underlying conditions?
Hans Pötsch: I would like to start with the orders on hand and the new orders coming in. Our order backlog of orders on hand was not reduced over the first two months, so we still have the same level of orders on hand or order backlog so that means, in relative terms, we have a stable order situation when it comes to orders being delivered to customers and new orders coming in. Well, you were saying that total market in China is not performing so very well, but – that’s right, but the market is growing. So, the growth rate is slower, but in relative terms, it’s still not a big a problem as if it were declining, particularly those segments in which we are active. And in South America, we kind of talked about a declining market. The South American market is increasing. Also in Brazil, at a lower level, but also Argentina where the market is growing. So, outside of Europe, we can certainly talk about interesting trends in the market. In Europe, the situation is different. But that’s something we have been reporting for quite a while basically since May or June of last year. Again and again, we said we have to be careful because there will be a decline in the market. But if you’re honest, individual customers in Europe really have a lot to digest and absorb. They are hit by so many negative trends. Unemployment in Spain at 22.5%, unemployment rate in Spain. And if you’re unfortunate and less than 27 years old, 50% of the people below the age of 27 are unemployed. Believe me, there are other things you’re more interested in than buying a new car. In Germany, this is not entirely visible at first class because the crisis has not impacted Germany so much, definitely not. But in some markets, there are situations which are, well, a bit more difficult, Portugal, for instance, or Italy. These are markets where the situation is slightly more difficult. You could also increase but nobody is – basically nobody is talking about increase anymore. Just one last comment concerning Europe. There are sort of quite a few tax increases. Taxes were increased, taxes relating to motor vehicles. So, politicians added lots of new motor vehicle taxes so that our retail customers have to pay even more for that cost. This increased total cost of ownership.
Martin Winterkorn: Let me answer your question about our opinion or what we mean when we talk about the integrated automotive group. We mean, in particular, the integration of operating business, Porsche’s operating business here. We’re talking about Porsche AG, not Porsche SE. Two more people would like to ask some questions. We’ll take those. Max, apparently a third one. First, Michael and then Mr. Rob. And Max will be last then.
Michael Tyndall – Barclays Capital: Michael Tyndall from Barclays Capital. Just a few questions around pricing, if I may. If I look through your revenue walk-down, from what I can figure out, you had a – an incremental benefit of about €400 million in Q4 on pricing. I’m just wondering if you can give us some color as to whereabouts you saw prices going up, because certainly it’s (inaudible) with what your competitors are saying in Europe. And you mentioned earlier that you won’t use pricing for volumes, but I wonder if you could just give us some comment in terms of when we look at your business over the last 5 to 10 years, you’ve taken significant costs out. And you’re going to take further costs out with the MQB. Is it fair to assume that you are a much more formidable competitor on the pricing front than you were, say, five years ago? And then, I guess, the final point is, can you talk about how you see the importance of pricing to your brand image? To what degree are people buying your cars because of the pricing? And that’s about it. Thanks.
Martin Winterkorn: Perhaps I could begin – I’ll begin with price effects and what might be interpreted from our numbers. Now, we did offer certain analysis of this. We definitely have to distinguish here between structural you see that well if you look at different brands, including those of the Volkswagen Group. Correspondingly, each of the brands work in their specific environment, Audi, for instance, will gear what they do much more to a BMW or Mercedes environment. For Volkswagen, we’ll gear what we do more to a Toyota environment. And Porsche, of course, will gear what they do to a different environment unlike the previous two brands I mentioned. Now, in terms of pricing, we are, of course, going to try to defend our price position to the greatest possible extent. And in our view, last year, we did do that in a reasonable manner. What’s important in this context is that we’re not just talking about the pure price itself, but we’re talking about price perception. Let me give you one example. For the Jetta in the United States, when we launched it, we launched it September two-and-a-half years ago. There we defined a new price lineup, which means that the entry-level price for the Jetta was done much more simply for American customers. Nonetheless, today, we see that the average price of the Jetta is above that of the predecessor, the average price. So that means we implemented a doable and intelligent price strategy that also is understandable for customers. And this demonstrates how the individual brands can provide customers with advantages.
Martin Winterkorn: Okay. We’re nearing the end of our event. First, Michael Raab, and then Max.
Michael Raab – Kepler: Michael Raab, Kepler. Professor Winterkorn, when you’re talking about MQB, you stated that the modular system is really appropriate for improving things with regard to emission, safety and so on. And now the EU Commission and other bodies in other regions seem to indicate that this is a one-way street. In other words, things are going to get even tighter which means that the cost for achieving compliance ought to go up, that ought to be the trend. Now, let’s imagine this. I’m a global volume manufacturer with a premium spearhead. Now, if you look at the volumes, where would the critical mass be? And where do you have to be in 2020 to at least achieve the breakeven point? Thank you.
Martin Winterkorn: The big advantage we all have is that this is not something that just affects us. It affects the competition too. And the competitors who win will be the ones that are best positioned for these challenges. And for this very reason, we have attempted to establish modular systems so that we can offer the right products in the right places. But the question that you asked about 2020 and what the situation there might be, well, if I – I can’t answer that for you.
Michael Raab – Kepler: Thank you.
Martin Winterkorn: Now, row –
Michael Raab – Kepler: I would like to ask about that. That was a philosophical answer. Now, let’s not talk about 2020. Let’s talk about today and the mathematical situation, what would the figure be? Thank you.
Martin Winterkorn: If I understand you concretely, you’re asking what volume should we have or what we have to have in 2010 in order to – do you mean today? Oh, today. Well, today, we have a sufficient volume, not to be concrete. We’re not talking about cooperating with other companies like some of our competitors are.
Hans Pötsch: Okay. Now, let’s look and see what Max Warburton has for a question, whether it’s mathematical or philosophical.
Max Warburton: Somewhere in between. Just three questions on regional profitability. I know you stopped publishing this in 2006, but just about – you’re often kind enough to give us a steer and there some comments this morning. Could you just give us the latest? First of all, on Latin America, given what other competitors are showing, is it safe for us to assume that margins are now low single digits in Latin America for Volkswagen? Secondly, North America, fantastic start for 2012. Would you be happy for us in the financial community to model a profit for this year in North America? And then, thirdly, Europe, you have competitors – mischief of making competitors, you live south of the Alps. You are constantly saying, “No one makes money in Europe including Volkswagen. It’s all Chinese profits in the VW brand EBIT line.” Could you give us, A, some qualitative thoughts on how much VW is actually making in Western Europe in 2011? And also, given the stress and strengths in the industry, could you give us a rosy optimistic picture for the future? I mean, do you think with what’s going on with companies under pressure, talk of alliances that we can see an outcome where actually European profitability rises for the winners? I mean, is something about to give here that going to be good for everybody including Volkswagen? Thank you.
Martin Winterkorn: I believe it wouldn’t be a problem to give you a two-hour lecture on this but I’ll try to be brief. So, first of all, to give you kind of indication or to have a mental picture of what kind of margins can be expected if it is at all possible to be specific concerning margins, I believe seen from the Volkswagen perspective, we have to say, first of all, if we do it properly – and we are on the right track, if we do it properly, then we can generate acceptable income everywhere. So, we really can generate acceptable profit everywhere. This is the principle and this is the principle that we use when we approach new markets. It’s hard work. But I think over the past few years, and I’m looking both left and right because all our colleagues contributed to this. I think over the past few years, our group has learned how to go to areas in the world where it’s not easy to generate profits building cars, but our company has certainly learned how to do it. And on this basis, coming from this basis, we can make systematic progress. Now, let me talk about – or let me respond to your questions. In South America, we have a situation which is changing slightly, because, last year, the market did not grow as originally expected. When we saw this market value, foreign manufacturers try to import cars to Brazil, for instance, has led to a corresponding response on the part of the government, the local government. So, as margins are concerned, I would say that the level of margins – still interest in margins, which in interesting level, and I think that’s something that you can also – while reading the figures that we published, it’s reflected in the figures which we published. North America, I told you that last year we have a situation which is changing slightly because last year, the market did not grow as originally expected. Then we saw this market that various foreign manufacturers try to import cars to Brazil, for instance. This led to a corresponding response on the part of the government, the local government. So, as margins are concerned, I would say that the level of margin is still interesting – margins reaching interesting level. And I think that’s something that you can also, well, read in the figures that we published. It’s reflected in the figures which we published. North America, I told you that last year, we took an important step for our sales organization. With our sales organization, we actually performed profitability. And the next step we want to take is that at a group basis, with the North American market, we want to operate profitably. This is a very high hurdle or obstacle. It is an objective which is hard to reach because the profit contributions there will actually overcompensate the proportional and overall fixed cost of the group. That is a very high standard that we have to achieve here, but basically, that we can achieve this goal at the latest in 2013. And for Europe, I have to tell you, it is our vision that at least in Southern Europe, the macroeconomic climates would change. That’s what we would hope. It will be slightly mixed environment in 2012 and probably also in 2013. But from the Volkswagen perspective, there is no reason to be concerned or to complain about the margins generated in Europe. And Asia is performing quite well. We had a question about that from one of your colleagues just a few moments ago. And I confirmed it that in Asia we have a very positive development. So, I have to reiterate myself. All this might be in a different situation, but I believe one of the most important objectives that were reached by our group in the last few years is indeed the fact that we have found ways and means no matter where, wherever we build cars, we are able to do this profitably. And this, of course – this is something that can still be improved. Some of the colleagues are smiling here when I say this profitability can still be improved, but that’s how it is. And we will work hard to further improve it, but we’ve already made a lot of progress here. Since Mr. Pötsch and my colleagues both – he said he would like to praise the colleagues sitting both left and right. Let me add something. In Serbian, we say, “You really have to work hard if you want to be successful.” In Chattanooga, we are building cars. We are building cars for the United States with the new factories, new car, new employees, and almost 90% local value added, so local content, localized cars. And a lot of work went into this from our colleagues in purchasing and in production. Our colleagues in Pune are operating very profitably, very successfully. It’s got something to do with the right product, right plant, right sourcing. And in we are building three different cars, 300 kilometers east of Moscow In a gas factory. So, this takes some courage. Our production colleagues together with ŠKODA, had the courage to go to this former gas company and they build up a Volkswagen factory there. We are also successful in China. It’s also got something to do with the commitment of our operating divisions and the story goes on and on. So that’s the secret to Volkswagen’s success. We try to always build up strong local operations so that we can comfortably build cars on site locally. And that’s an objective that we will continue to pursue and our courage is rewarded. It pays off. Just look at United States, many people warned us, they said, “Don’t go to the United States.” But in hindsight, I can say, this was the right decision and it confirms now it’s the right decision.